Operator: Good day, ladies and gentlemen, my name is Kim, and I'll be your coordinator for today. [Operator Instructions] As a reminder, this call is being recorded. I will now turn the call over to your host for today's conference, Ms. Heidi Gillette. Please proceed, ma'am.
Heidi Gillette: Thank you, everybody for joining us, and welcome to SL Green Realty Corp.'s First Quarter 2012 Earnings Results Conference Call. This conference call is being recorded. At this time, the company would like to remind listeners that during the call, management may make forward-looking statements. Actual results may differ from the forward-looking statements that management may make today. Additional information regarding the factors that could cause such differences appear in the MD&A section of the company's Form 10-K and other reports filed by the company with the Securities and Exchange Commission. Also during today's conference call, the company may discuss non-GAAP financial measures as defined by SEC Regulation G. The GAAP financial measure most directly comparable to each non-GAAP financial measure discussed and the reconciliation of the differences between each non-GAAP financial measure and the comparable GAAP financial measure can be found on the company's website at www.slgreen.com by selecting the press release regarding the company's first quarter earnings. Before turning the call over to Marc Holliday, Chief Executive Officer of SL Green Realty Corp., for those of you participating in the Q&A portion of the call, please limit your questions to 2 per person. Thank you. I will now turn the call over to Marc Holliday. Please go ahead.
Marc Holliday: Okay. Thank you, Heidi, and welcome, everyone, to our earnings call today. Thank you for joining us. Normally, our Q1 is not quite as robust as what we have presented to you today, so I'm sure we have a lot of ground we will cover, both in some prepared remarks and our Q&A. But I would just like to focus in first on 1515 Broadway transaction that we announced last night. This was certainly what I believe to be a milestone event for this company. Lease extension was one of our top overall strategic priorities and having that behind us now affords us great flexibility and opportunity going forward that we'll certainly utilize to our advantage. I've heard a lot of Street commentary about eliminating overhang and derisking the rent roll, but this transaction, in my mind, has a much more profound effect than simply mitigating a future lease roll. We were completely focused on value creation and stabilization of one of our premier asset holdings throughout this transaction. Ultimately, our focus was on term, 15 years of term, not another 5- or even 10-year extension, which doesn't carry the same weight in the capital markets, but now with a 15-year extension beyond the 3 years remaining on the original lease. This asset, in our minds now, moves into elite core status in Manhattan and with an $80 million near-term NOI and applying a 5% cap rate, which I would believe to be conservative in this market, the result would be an asset value worth approximately $1.6 billion based on just those metrics. But that's only half the story as this now extremely valuable office tower sits on top of an extraordinary retail pedestal, which will provide for future rental growth and signage opportunities to further drive NOI. I want to thank Viacom's leadership for having the confidence in us to make this additional 15-year commitment. And I especially want to thank our team that worked literally and exactly 24/7 during a very compressed period of time to structure, negotiate and finalize a very large and complicated lease transaction. In fact, over 25 SL Green professionals covering every discipline of this firm were dedicated to this project over the last few weeks 100% of the time. I'd say without hesitation that the completion of this transaction was the proudest moment during my 14-year tenure at this company. But not to be overshadowed by the Viacom deal, I would also like to highlight the Random House lease renewal, which unto itself, tips the scales as one of the largest lease transactions in New York City in the past 6 months. The deal with Random House was truly one of those win-win situations, whereby Random House will be able to rightsize their space needs and achieve densification while remaining in their world-class headquarter building at 1745 Broadway. For us, the lease extension allowed us to put away for term the base of the building while maintaining the opportunity to lease the upper half of the building in 2018 and achieve the then market rents. I have some more commentary later on before Q&A, but right now, let me just turn it over to Andrew.
Andrew W. Mathias: Thanks, Marc. On the investment sales side, I would characterize the Midtown Manhattan market right now as a standoff between buyers and sellers, where there's tons of capital interested in looking for deals and sellers whose expectations are high, given their view that higher rents and tightening cap rates are on the horizon. That dynamic is contributing to a slow quarter of activity for core Midtown property. However, consistent with the leasing market, which is very hot in the Midtown South and Soho areas, we've seen a big pickup in sales activity in those areas, including our own sales of 141 Fifth Avenue and 379 West Broadway, which we announced yesterday at a sub-5% cap rate in each case. Also of note, 148 Lafayette, a building with no real retail, traded for about $850 a foot. That's on Lafayette, just a block north of Canal, not an area known for premium per-foot valuations. So there's a lot of investor interest in Midtown South and these surrounding areas corresponding with a tightening vacancy and a lot of leasing activity. In terms of our structured finance business, we continue to be very active, with net originations of around $70.5 million in the quarter at an average rate of 8.7%, which is skewed somewhat because the largest origination of the quarter was a first abridged first mortgage position, which obviously doesn't carry a mezzanine-type rate. We anticipate selling an A note in that mortgage position as we've done in other mortgage positions, and being left with a retained yield in the low teens, which is more consistent with our targets for the program. We continue to see good opportunities on the structured finance side. Although more capital is coming into that space and competing with us, we're relying on our superior origination teams to continue sourcing good product. And I would say our pipeline for the second quarter is looking very strong right now in the structured finance business. And then on the financing side, our big activity in the quarter was closing the 1515 financing, which actually predated their lease with Viacom, although we've built in certain pre-approvals that gave us flexibility to do a lease like the one we did with Viacom. This was a major balance sheet deal by Bank of China, who's been our strongest lending partner over the past 24 to 36 months. A 7-year term deal on this asset, giving us great prepayment flexibility, the ability to swap or keep it as a LIBOR floater and a lot of other unique features that a balance sheet lender brings to the table. So we thank again, Bank of China, for their confidence in us, and we appreciate the relationship and the amount of business we've been able to do with them. With that, I'd like to turn it over to Jim.
James E. Mead: Thanks, Andrew. We've been reporting over the last number of quarters a large volume of ads that we've taken advantage of, really unique market circumstance. And we've also said in the past that we have access to liquidity that few other companies do. And this quarter was no different as we, in the face of all that investment activity, we ended the quarter and today are sitting with more than $1 billion of immediately available funds. And again, this is demonstrating that access came in a number of ways. During the quarter we had over $1.1 billion of mortgage executions to partially finance our acquisition activity. And that included the $775 million mortgage that, on 1515 Broadway, that Andrew just mentioned. We also supplemented that with about $650 million of asset sales that included 292 Madison, retail condos at 141 Fifth and the in-contract sales of 379 West Broadway in One Court Square. And we finally and, I'll say, prudently tapped the common equity market through our ATM and DRIP programs for about $280 million. Using those programs, we achieved an average selling price of $77 a share in comparison to our volume-weighted average price during the quarter of about $75, so we executed a sales price about 3% above the volume-weighted average price for the quarter, which is a good metric to use as an example of the success we've had and, I'll say also, with very little offering expenses. So the way we've entered the equity market, I think, has been very intelligent and also very efficient for our shareholders. With that, I'll turn it over to Matt for some comments.
Matt DiLiberto: Thanks, Jim. While our earnings results have seemed to fail in comparison to the other news we put out over the last 24 hours, there are a couple of meaningful things to take away from the very solid results we posted for many expected to be a ho-hum first quarter. Overall, our results were in-line with or slightly ahead of our expectations. Most notably our same-store portfolio, which grew by 7 properties in the first quarter, posted strong cash NOI growth year-over-year of 6.2%. The substantial improvement in this metric, which excluded accounting noise of straight-line rents and FAS 141 adjustments, continues to be due in large part to our leasing efforts, which have driven occupancy increases in the same-store portfolio for 6 quarters in a row. 100 Church Street now stands at nearly 82% occupancy. We have increased occupancy at core holdings like Tower 45 and 1350 Avenue of the Americas. Along with leasing, containment of our variable operating costs continues to be a focus of our property management teams and only serves to enhance the portfolio's performance. Of note, these positive same-store results also come in spite of the inclusion of 125 Park in the same-store pool during the first quarter. Recall that we acquired this property in 2010 with the expectation that the 143,000 square feet occupied by Meredith will be vacated at the end of 2011. Their leaving took the occupancy of the property down to 70% from 94%. While we were able to temporarily fill some of this vacant space with employees from Y&R as they await their move to 3 Columbus, this did not offset all the lost Meredith income in the first quarter. We also saw continued income expansion in our debt and preferred equity portfolio. With opportunities for new investments continuing to present themselves, our portfolio has now grown to just under $1 billion on a book basis, with a very healthy average yield of around 9.7%, up from just over 8.25% at December 31. Finally, significant onetimers were virtually nonexistent in the first quarter. Within other income along with the recurring income generated from third-party management fees, leasing commissions and lease cancellation income, we recognized approximately $2 million and other ancillary fees. With regard to our 2012 guidance, our activity in the -- just the first 4 months of 2012 has been brisk, including new investment activity, the issuance of $280 million of common equity, the refinancing of 1515 Broadway and an incredible amount of leasing. Taken as a whole, with the strong performance of our core portfolio, we are raising our FFO guidance range from $4.45 to $4.55 per share to $4.50 to $4.60 per share for 2012. Turning to FAD. Among the other activity we need to take into consideration, some of the capital we have committed for the Viacom deal, all of which is considered second-generation capital, which was obviously not contemplated in our original guidance. As such, we are revising our FAD guidance from $2.70 to $2.80 per share to $2.50 to $2.60 per share. Given the magnitude and importance of this lease, this is some of the best capital the company will put to work in 2012. With that, I'll turn it back over to Marc.
Marc Holliday: Okay. Thanks. A few final comments, then we'll open it up to Q&A. First, as to the overall health of the New York City economy and leasing market, I would say that things from our perspective seem to be relatively on track and consistent with our expectations and our communications to the market back in December. Job growth continues to occur in areas like professional services, media, information and technology. And those jobs are offset in part, but not completely, by continuing the very modest job losses in the finance sector. This market backdrop enabled us to achieve our goals for Q1 as it related to increases in occupancy and mark-to-market rental increases on rollover. Furthermore, as it relates to where our balance sheet stands, you heard Jim talk about our equity funding program that we've been executing throughout much or all of 2011 and 2012. Combined with our asset sale program, which has allowed us to maintain a debt-to-total asset level of around 45%, which has been fairly consistent, and while debt to EBITDA is hovering somewhere in the 8.5x range, that is before factoring in approximately $1 per share of FFO, that we are projecting to realize from our transitional and recently acquired vacancy, which realization we expect to occur largely over the balance of this year, '13 and '14 and with order being realized by 2015. Notably, very proud of the fact that our current outstanding on the line of credit is $200 million and we pro forma that to be 0 throughout -- as we progress into the year. I think that is another notable milestone, if you will, one that we always believed and felt was completely manageable, outstanding and I think we did a very good job of over the past several years in chipping away strategically through asset sales, equity raises, term financings and strategically, but prudently, reducing that line of credit to pro forma 0 by the end of this year. And likely before, and I guess, to top everything off, to be doing all this activity, which is in our mind storing these chestnuts for future growth that will be realized largely in the future years and doing a significant amount of equitizing both through asset sales and equity raising, to be able to sit here today and raise our FFO guidance in light of all that, I think, is just a testament to the great work of all the employees of this firm. And we hope our shareholders are as excited about that as we are. So with that, I'd like to wrap this up and open up the phone now for some questions and answers.
Operator: [Operator Instructions] And your first question comes from the line of Alex Goldfarb with Sandler O'Neill.
Alexander David Goldfarb - Sandler O'Neill + Partners, L.P., Research Division: On the Viacom deal, was there something that sort of prompted the whole -- the rush to get it done now given that, I think, the lease was through 2015? Was it the fear of them being courted by a developer to build -- whether Hudson Yards or something like that, where they might relocate? Or what sort of drove the rush to get it done right now?
Marc Holliday: Yes. I wouldn't use terms like fear and rush. I would say that it was just time. With a firm like Viacom, this was a very deliberate decision on their part. I think they had been evaluating their options for well over a year, if not years. But I think, they're the type of firm who has a little bit of cultural similarity to us. When your valuation's done and the decision is made, there's no reason to belabor extensive time-consuming negotiations and wasted resources. They knew what they wanted. We knew what we needed. And we've had a 10-year relationship with this firm at the highest levels, and we were able to, I would say, quickly and efficiently knock out a deal, which, I think, I would hope you would agree, is somewhat consistent with our pedigree. And I think Viacom, being a leading company in the media sector, as well as terrific M&A shop, and as well as with very deep financial capabilities, I just think you have 2 firms who don't believe in dragging out what's inevitable once the decision is made to move forward. So fear and rush I think is a little bit of a misnomer, I would just say, it was time to get it done and now it's time for each firm to kind of get on to other things because we each have big agendas.
Alexander David Goldfarb - Sandler O'Neill + Partners, L.P., Research Division: And then second question is, on the leasing front, just speaking to brokers hearing about like, let's say, Microsoft sort of looking in Midtown, as you guys see the tech and social media boom, especially emanating from Midtown South, are you seeing those tenants seriously consider expanding or relocating into Midtown? Or is your sense that most of those people are sort of just using the Midtown look around to try and retrade to get a deal in Midtown South or Chelsea or one of those submarkets?
James E. Mead: Well, you got to remember that the Midtown South-Chelsea market is actually a pretty small market, so there's no choice but those industries are only going to be able to find good space alternatives in Midtown, as much as we'd all like to have more product in Midtown South. Cool neighborhood, but it's too small to handle a very small industry.
Operator: Your next question comes from the line of John Guinee with Stifel, Nicolaus.
John W. Guinee - Stifel, Nicolaus & Co., Inc., Research Division: Just kind of some back-of-the envelope numbers, which I'm sure are very rough and very incorrect on Viacom: 1.75 million square-foot building, $80 -- $80 million of NOI, I think you mentioned is about $45 or $46 net. You come up with a value of $1.6 billion, $900 a foot. Can you give a little more color in terms of what the rental rates are on the office side of the equation? What the rental rates are in the retail side of the equation and how you come up with $80 million of NOI, kind of peel back the onion more out of curiosity than anything else?
Marc Holliday: Well, I don't know that we can componentize the entire $80 million on the phone. Although we are going to be putting up a little bit of a what I think what is called a microsite after this call, which is going to show quite exactly the NOI growth of this project from, I think, an inception of $35 million to $40 million when acquired in 2002, which we have doubled to, I think, what is $78 million for 2012. And we have some further bumps and escalation projected on to the future with that $80 million number that I quoted you earlier being at stabilization as opposed to today because there's still some more bumps and other movement that'll get that 78 point something, up to 80% or more. But with that said, I encourage everyone -- at the end Heidi will give some guidance as to how people can access that microsite and when it will be available but certainly later today. As it relates to, which I quote, the mystery of the economics, we'll try and demystify this in very simple and basic terms. The rent, the total annual rent at Viacom we'll be paying is roughly equivalent or very, very similar to what they're currently paying today with $5 bumps out into $5 bumps every 5 years during their extension term. So that is roughly the economics of the office tower. The balance is from retail, and Andrew can shed a little more detail on the retail than I can.
Andrew W. Mathias: In terms of componentizing, I'm not sure how much aggregate NOI comes from the retail but we do -- the retailers -- the AIG Best Buy Theater, the Minskoff/Nederlander Theater, where the Lion King is running, the Aéropostale flagship store. Viacom did renew their studio commitment for the 15 years through 2031 as part of the broader lease discussion. And then we have 3 stores, Billabong, Element and Oakley. Oakley has long-term lease. Billabong and Element are near term expirations. So there is some additional retail upside in the asset. And asset retail is a significant contributor to that NOI.
John W. Guinee - Stifel, Nicolaus & Co., Inc., Research Division: Great. And then a second question, Steve, can you drill down a little bit and talk about, besides all the activity in Midtown South, talk a little bit about which submarkets might be lagging and also talk about which price points are doing better than others. For example, as a big deal done at 1 New York Plaza was a low 40s, full-service price point. It sounds to me like Viacom was done in the mid-50s, so at just what price points are doing well and drill down some of the other submarkets besides the obvious ones.
Steven M. Durels: Well, what we're seeing across the portfolio is there's a lot of demand for kind of the classic value type of price points. That $45 to $65 pricing seems to be where a lot of deals are being transacted. We're seeing it in some of our buildings where there's Third Avenue or 485 Lexington or 521 Fifth, where we have pockets of space. The downtown stats, quite frankly, have been surprisingly good even though there have been some big deals done down there with moderate rents. But as far as the overall availability rates, it's a lot healthier than anybody would have projected a couple of years ago. Midtown South is as tight as a drum and Midtown, I think it's not so much the submarket, it's more the certain size ranges seem to be slower than other size ranges, kind of that 25,000-to-45,000-square-foot-type tenant seems to be slow demand right now. But counter that with sort of the small spaces, 5,000, 6,000 square-foot spaces, if it's nicely built, that stuff seems to be in very high demand. We're seeing at 600 Lexington Avenue continued very strong demand, probably the most activity that we've seen since we've owned the building. We've got 5 deals pending there right now, and we've got a bunch of pull-forward deals of this year. So I think it's very hard to say which of the submarkets is necessarily slow until you understand the size ranges that are slower, and that's not so much the area but more about specific sizes.
Operator: Your next question comes from the line of Sheila McGrath with KBW.
Sheila McGrath - Keefe, Bruyette, & Woods, Inc., Research Division: Now that you have the renewal metrics of Viacom and the capital required to get the tenant to renew, I was just wondering if you could walk us through how you view your pricing of your purchase of the 45% interest a year ago.
Marc Holliday: Well, the pricing, I believe, was about $1.2 billion. I mentioned earlier in the call where I thought NOI is or is soon to be ramping. And while I can't give you an exact value on how somebody would value that, you can apply whatever cap rates you want to that very stable NOI stream, and I think in most or all cases, you're going to come to a conclusion that it we're very pleased with the acquisition but, again, in fairness, it's a little bit of hindsight because when we purchased it, we uniquely took on the risk or opportunity, depending on your orientation in life, of having to make this critical lease deal or make the critical decision not to lease and then have to lease up in 2015, '16, '17. So that's not a -- it's not a small risk by any means or not a small opportunity. And I think the price a year ago or a year or more ago in a different market at a different time with that question unanswered versus what we believe the value to be today is obviously a little apples and oranges. But the question is, are we pleased with the overall performance of the building and both our original acquisition and our subsequent acquisition? And for that matter, our entire JV with SITQ has been a terrific partner of ours for probably a decade or so. This building, I think, is textbook case study, if you will, in value creation and good real estate execution.
Royal Shepard - S&P Equity Research: And my second question is on The Journal reported a number of tenants, Dewey Stockton [ph] and UBS, looking at putting sublease space on the market. I'm just wondering what your views of the trends in the sublease market are.
Steven M. Durels: The sublease availability is still pretty small right now. It's less than 3% of the availability rate overall. Those blocks that you're referring to, they were like $100,000 square feet a pop. So in the context of the overall supply, it's not that meaningful. We haven't seen a whole lot of new supply coming on and in conversing with brokers community, it's -- they're hard-pressed to really identify big blocks that are coming on. Doesn't mean it won't happen, but none that we've been able to identify to date.
Operator: Your next question comes from the line of Rob Stevenson with Macquarie.
Robert Stevenson - Macquarie Research: Steve, can you talk a little bit about what the latest is on 280 Park and what your leasing strategy is there and what the sort of timing looks like these days?
Steven M. Durels: We're deep in the development phase right now. We've completed the -- establishing our full scope of our developments. I think we're going to do a little bit of a presentation at NAREIT to really unveil it to everybody. But it it's going to be, and you've heard us said in the past, it is going to be transformative as far as what we're going to accomplish with the building. It's going to be unlike anything that's on Park Avenue right now. We're kind of lightly marketing it. It's a little premature until we get heavier into the construction phase, but shed and bridge went off this week. We're starting to work shortly on the façade restoration. The heavy construction will start shortly thereafter. It'll be a 1.5-year project. Notwithstanding, the light marketing effort, I can tell you we've had a couple of very, very credible, significant expressions of interest from big tenants on the order of magnitude of 0.25 million square feet each. And we're conversing with those tenants. We're not suggesting that we're going to make a deal anytime soon because we think it's a little early in the market relative to our pricing expectations and what we have to present so far, but it's -- we're very excited about it and everybody that we have presented our development plan to have very quickly endorsed our thoughts.
Robert Stevenson - Macquarie Research: Okay. And then, can you guys also give us an update as to the newer retail assets that you guys have acquired and some of the assemblage that you need to do and tenanting and repositioning, where you are in the process there and how talks with potential tenants are going there?
Marc Holliday: Sure. 1552, 1560 as part of the purchase, we did give the selling tenant a year's occupancy there. So they are still in occupancy. That's TGI Friday's in Times Square, but we're actively marketing the site to a wide universe of interested retail, signage, and retail and signage tenants. Not clear how we're going to divide up the space, whether it will be one user or whether it will be multiple users for each of the different components, and those talks are going very well. I mean, there's a lot of interest in Times Square. There's not a lot of availability. And our product is very unique in terms of what we offer guys. Likewise, on 747 Madison, we've actually completed the series of transactions so that we can modify and offer higher ceiling height space within the box that we bought. One of the challenges was that a portion of the space was a bit ceiling-height challenged. We made a deal to buy out one of the apartments of the building above. We're going to be basically demolishing that apartment and offering it at higher ceiling height on the retail. We think that will be a hugely accretive purchase and one that we didn't underwrite when we bought the -- when we bought the condos. So we have ongoing discussion with several tenants on that space as well, so very strong in terms of the discussions and demand on the retail side.
Operator: Your next question comes from the line of James Feldman with Bank of America.
James C. Feldman - BofA Merrill Lynch, Research Division: I know there's a lot of discussion among the brokerage community that if Viacom had moved, it would really change your landscape of Times Square, that they're certainly looking downtown and even some of the developments on the West Side. I'm just curious, do you have a sense of why they did decide to stay beyond just the economic decision? And what is it about that area? And do you think this is a sign that maybe the pendulum will shift and you'll see more interest in Times Square?
Marc Holliday: Well, I think, we'd probably just be parroting some of the comments made by their CEO, Philippe Dauman, yesterday. But I think he views certainly a very strong connection to Times Square, where they've resided for over 20 years and have experienced almost unprecedented success for -- in becoming one of the world's leading media companies in that location. So I think created a certain bond and a certain recognition about corporate branding opportunities and corporate visibility and connection to Times Square and a connection to an area of town that is considered by many entertainment companies, not just Viacom, but Good Morning, America across the street. ESPN Zone was filming there for many years. And I think there's a recognition that it's just a -- it's an extraordinary opportunity now more than ever for them with signage, building-naming rights, LED signage cantilevering over Times Square. Their studio -- state-of-the art digital studio that was just rebuilt within the past few years, along with terraces overlooking Times Square. I mean, these are all major, major factors in addition to the building itself, which is in excess of 54 stories, 35,000 square-foot efficient floor plate center core, great lighting there on four sides. I mean, there was a lot to like there. I think the only thing I sensed they were considering was price in other areas. There were never an issue, I don't think, of location or building or anything like that and transportation to this area of town, subways, buses. It's -- you can point to other areas that are developing those kinds of transportation hubs, but nothing matches what's available like the bow tie of Times Square. I think that's a lot of what went into with but you'd have to get to them to get more specific on that point.
James C. Feldman - BofA Merrill Lynch, Research Division: And then back to the Midtown South kind of spillover question, what pockets of Midtown do you -- are you seeing benefits?
Marc Holliday: Pockets of Midtown?
James C. Feldman - BofA Merrill Lynch, Research Division: What I mean in the submarkets within Midtown, where you're seeing the most interest from the tech or media tenants that would otherwise be in Midtown South but there's not enough space. Is it the Garment District? Is it around Grand Central?
Steven M. Durels: I don't think they're -- yes, I haven't seen them really coalesce around any one particular submarket.
Marc Holliday: Facebook is at 335 Madison. They would -- they certainly would have been a Midtown South tenant. Amazon is expanding aggressively in 1356 Avenue, our building.
Steven M. Durels: Yes, I mean, a perfect example is that 3 Columbus Circle, oddly enough, we leased it to Y&R, but the other competing tenant for that was Havas, so both creative advertising firms. We've had a couple of name-brand tech firms come very close to choosing the building, and we've had a couple of more funkier-type users, nontraditional type users consider the building as well. And in each case, those tenants have looked at that building relative to the Hudson Square, Midtown South, Flatiron neighborhoods. The tenants weren't coming from the more traditional kind of East-West across 57th Street, financial service, law-firm-type stuff. So I think to Andrew's point, it becomes very building specific. If it's something that the building has amenities that are unique or views that are unique or space that offers something where they can really create an environment for themselves, then that's where we're still seeing that kind of demand. And it will be great to see another neighborhood develop, but I don't know that that's happening.
Operator: Your next question comes from the line of Michael Knott with Green Street Advisors.
Michael Knott - Green Street Advisors, Inc., Research Division: Marc or Andrew, just curious if now that you've secured that and made it a elite core asset or whatever the terminology was you used, do you have any interest in potentially re-JV-ing that asset again to sort of harvest some of that -- those gains?
Marc Holliday: We haven't decided yet. I mean, the ink is just drying on the lease. And it certainly sets up very well for a core JV, but it's also -- there's a lot of retail upside left in the building and that was part of what attracted us to make the buyout we did with SITQ. And that upside is yet to be realized. That's in the coming year. So we'll we look at it carefully. I mean, we've put the financing away for seven years, but it is floating rate so it gives us all the flexibility of a floating rate loan and the idea is to have -- to be able to unencumber it, encumber it. As a JV partner, ultimately, as sees fit, we wanted maximum flexibility with respect to the outside. I think that's the position we're in today.
Michael Knott - Green Street Advisors, Inc., Research Division: And then on the Random House lease site, I think they renewed for, call it, a little over half of their current space. Is that their permanent space going forward and so the other 40%, 45% is going to be on the market in a few years, is that right?
Steven M. Durels: They've -- they leased floors 2 through 13. So they took the more challenged portion of the building. That leaves us the Tower of the building, which it steps back a little bit a few floors up to some smaller floor plates with really spectacular views. They've already started to re-stack their occupancy and the balance of that space, they're going to go ahead and sublease that. They've already respect 3 floors -- 4 floors. They have another sublease pending with the 4th floor. We view those tenants as very good candidates for us to renew them in '18 at what will then be, we think, significantly higher rents than in today's world, and particularly given the fact that it's for the best part of the building.
Michael Knott - Green Street Advisors, Inc., Research Division: They took the low floors at $75 a foot, if I read supplemental right.
Steven M. Durels: Right.
Michael Knott - Green Street Advisors, Inc., Research Division: Any guess on the upper floors today?
Steven M. Durels: Well, there's $75 on an essentially as-is deal with no free rent. So that's a pretty strong net effective rate. And I think the Tower is going to trade at a significant premium to that.
Marc Holliday: The Tower has some pretty spectacular views in that building.
Operator: Your next question comes from the line of Blaine Heck with Wells Fargo.
Blaine Heck - Wells Fargo Securities, LLC, Research Division: Excluding the Random House lease, what was the releasing spread you guys saw this quarter in Manhattan?
Marc Holliday: 1%.
Blaine Heck - Wells Fargo Securities, LLC, Research Division: 1%. Okay. And then if I take a look at your consolidated same-store schedule in the supplemental, when I compare this quarter to last quarter, there seems to have been a significant move in the straight line revenue adjustments. I know you guys said there were 7 properties that moved into that, but was there any -- anything specific that drove that shift?
Matt DiLiberto: Yes. It's Matt, Blaine. It's 2 Herald Square and 885 Third. Those are our 2 fee deals, remember they had large straight line components, those were both added to the same-store pool this quarter. They were excluded after we had to buy out the 45% we didn't own in December 2010. So those are 2 of the 7 and the biggest driver of a straight line adjustment.
Operator: Your next question comes from the line of Joshua Attie with Citibank.
Joshua Attie - Citigroup Inc, Research Division: What are your thoughts on the potential rezoning of Park Avenue that the Bloomberg administration has been pushing for? Do you think it's likely to occur? And how do you think it impacts the portfolio and the company in general?
Marc Holliday: Well, I think it's a little early to talk about impact until -- unless and until we have a better sense of what might occur under this current administration there. They are certainly seem to be going through the motions of looking at certain upzoning and/or bonusable activities to spur some additional development in Midtown. I don't think it's limited to Park Avenue. And I think they're looking at a broader area of Midtown. But what ultimately comes of that, if it comes, when it comes, we'll have to see. But I think the basic fundamental underlying the exercise is a good one, which is, let's figure out ways to encourage and incentivize development in the areas of New York that have generally the highest rents and can economically support new development as an alternative to some of the other areas designated for development around the city, which rely on some element of subsidy to permit, if you will, below market rents for new construction, because the one constant that doesn't change from site to site generally is construction costs. That's somewhat of a constant. And Midtown and the prime areas of Midtown could support some new construction now or clearly in the future with some more rental growth and I think making sure that the city stays as competitive as possible, not just within the U.S. but around the world where other major world capitals are adding state-of-the-art new buildings to their commercial inventories. New York needs to keep pace with that. It's not a function necessarily of needing more space per se, because right now we seem to be at an equilibrium. We may in the future, but right now, we seem to be at an equilibrium, but it's just I think a natural objective to take, in some cases, older antiquated office inventory and convert it to state-of-the-art, brand-new office inventory and any kind of policies directed in that area we think are sound.
Joshua Attie - Citigroup Inc, Research Division: [indiscernible] One quick follow-up on the Viacom, you talk a little bit about the signage and plazas and LED lighting and naming at the top of the building, is there any freed up opportunity for you to add and earn more income either by putting more signage or is that all effectively on Viacom and that's all embedded in their lease in terms of renewing at market or at their current rents?
Marc Holliday: This has been Andrew's baby from the outset with the sort of enhancing and maximizing these signage opportunities both in terms of what we've done and what we hope to do, so why don't you...
Andrew W. Mathias: On the 2 existing LED signs on the building, which are -- we added and lit up last year, those signs we entered into a partnership with Viacom on, so we'll enjoy a 50-50 ownership of those signs with Viacom. In terms of additional signage opportunities on the building, we retain the rights to those beyond the corporate branding that we committed to Viacom as part of the lease renewal. So there may be additional future signage opportunities at the building and we'll continue to explore those.
Joshua Attie - Citigroup Inc, Research Division: And effectively they get the signage at the top of the building but you retain everything else?
Andrew W. Mathias: They get certain corporate signage that was committed to specifically in the lease, but not the top of the building.
Steven M. Durels: The elements that they got would not have been practical to think that we could have developed them independent of Viacom because of the replacement and proximity to their window lines. So really everything else on the façade is open for exploration.
Operator: Your next question comes from the line of Jordan Sadler with KeyBanc.
Jordan Sadler - KeyBanc Capital Markets Inc., Research Division: First and foremost, mea culpa. I was one of the ones that characterized the renewals as derisking, I guess. So...
Marc Holliday: Well, like I said, it's just a matter of perspective. It's not a wrong -- it's not a wrong point of view, just a different one.
Jordan Sadler - KeyBanc Capital Markets Inc., Research Division: Sure. The question I had is on 1515, did you mention the TI on the deal?
Marc Holliday: I don't know if we did or didn't, but, again, we certainly can. It's -- we had been modeling prior to this a 10-year renewal with TIs in the kind of $35 to $40 range. When the deal went to 15 years, we grossed that up pro rata and wound up at sort of a $55 TI, which is, our view, below to -- far below what a replacement tenant coming in without all the embedded infrastructure would naturally command in a market as opposed to a tenant like Viacom that still can utilize much of its infrastructure.
Jordan Sadler - KeyBanc Capital Markets Inc., Research Division: Okay. And then on that lease, and I guess on Random House, I'm just curious on commencement. Did those new leases -- I guess more so on Random House given the uptick, does that new rate commence in 2020 from a cash flow perspective or from a GAAP perspective, rather? 2018.
Marc Holliday: Random House in 2018, yes. They and Viacom will pay their contractual rents through their existing lease maturities and then the new rates will kick in.
Jordan Sadler - KeyBanc Capital Markets Inc., Research Division: Okay. And then, and the structured finance pipeline, Andrew, you characterized it going into the second quarter as strong. I'm just curious given sort of the success in the capital markets continued sort of competition from lenders, I guess not as many mezz lenders, what do you see in -- and given the standoff you mentioned between buyers and sellers, what's causing it to be so strong?
Andrew W. Mathias: I think that standoff is leading a lot of guys to refinance as opposed to sell, and there is still sales activity out there and when it's properties that require real estate knowledge and expertise and they're not heavily leased and strongly cash flowing, we're oftentimes finding that gap in the capital structure between, call it, 50% and 70% and filling it with mezz or preferred equity.
Jordan Sadler - KeyBanc Capital Markets Inc., Research Division: One more quick one in Random House. What was the impetus for the early renewal? 2018 was the expiration, did they come to you?
Steven M. Durels: It started off probably 1.5 years ago in early discussions. And we danced around a bit, but I think they came to conclusion that they wanted to restack and both sides, viewed it as a perfect opportunity to extend the lease as a result of that.
Marc Holliday: They wanted to spend capital as part of restacking and didn't -- really wanted some additional term in order to amortize that capital over a longer period.
Operator: Your next question comes from the line of Tayo Okusanya with Jefferies.
Omotayo T. Okusanya - Jefferies & Company, Inc., Research Division: Just one quick clarification question. The mark-to-market for the quarter, excluding Random House, you said it's 1%, is that correct?
Marc Holliday: Yes. Unsigned, yes.
Omotayo T. Okusanya - Jefferies & Company, Inc., Research Division: Unsigned. So what's the mark-to-market on the Random House piece then?
Marc Holliday: It's just under 50%.
Omotayo T. Okusanya - Jefferies & Company, Inc., Research Division: And then the second question is, I know it's not a big part of your portfolio, but just can you talk a little about the Suburban portfolio and just opportunities within that either to sell assets or just to improve overall rent growth out of that portfolio?
Marc Holliday: There's still a pretty much of an overhang in that market. There's a lot of space that's available. I'd say the Stamford and Westchester markets are about 20% to 25% vacant. There's really no activity on the sales side. We continue to hold our own in a pretty challenging market, where our occupancy actually ticked up a bit to about 86.4%. So in terms of the ability to do sale, there doesn't seem to be a rather robust market there for both buyers and/or sellers.
Marc Holliday: Right. Listen, people on the call who remain, unfortunately, we have a truncated call today. We intended to finish right now at 3:00. We have, as you can imagine, given things that are going ,on, we have a fairly substantial afternoon as it relates to some other things we continue to work on in rolling out this Viacom announcement. But we appreciate your questions today. We appreciate your continued support. We look forward to speaking with you again in 3 months' time. And one other thing I mentioned earlier, this microsite. It is live, I am told by Heidi. It is on our SL Green homepage, which I trust all of you know how to get to and it is...
Heidi Gillette: It's the 1515 logo towards the bottom of the page. You can click on that then it'll take you to the microsite.
Marc Holliday: Okay. So anyways, just a little -- some information and pictures and a little bit of chest thumping, chest more than anything else, on what we consider to be one of our profile achievements. So thank you, and we look forward to speaking with you soon. Operator?
Operator: Ladies and gentlemen, that does conclude today's conference. Thank you for your participation. You may now disconnect and have a great day.